Operator: Good day, everyone and welcome to Charles River Associates Second Quarter 2022 Conference Call. Please note that today’s call is being recorded. The company’s earnings release and prepared remarks from CRA’s Chief Financial Officer are posted on the Investor Relations section of CRA’s website at crai.com. With us today are CRA’s President and Chief Executive Officer, Paul Maleh; Chief Financial Officer, Dan Mahoney; and Chief Corporate Development Officer, Chad Holmes. At this time, I’d like to turn the call over to Mr. Mahoney, for opening remarks. Dan, please go ahead.
Dan Mahoney: Thank you, Rob and good morning everyone. Please note that the statements made during this conference call, including guidance on future revenue and non-GAAP EBITDA margin and any other statements concerning the future business, operating results or financial condition of CRA, including those statements using the terms expect, outlook or similar terms are forward-looking statements as defined in Section 21 of the Exchange Act. Information contained in these forward-looking statements is based on management’s current expectations and is inherently uncertain. Actual performance and results may differ materially from those expressed or implied in these statements due to many important factors, including the level of demand for our services as a result of changes in general in industry-specific economic conditions. Additional information regarding these factors is included in today’s release and in CRA’s periodic reports, including our most recently filed annual report on Form 10-K and quarterly reports on Form 10-Q filed with the SEC. CRA undertakes no obligation to update any forward-looking statements after the date of this call. Additionally, we will refer to some non-GAAP financial measures and certain measures presented on a constant currency basis on this call. Everyone is encouraged to refer to today’s release and related CFO remarks for reconciliations of these non-GAAP financial measures to their GAAP comparable measures and descriptions of the calculation of EBITDA and measures presented on a constant currency basis. I will now turn it over to Paul for his report. Paul?
Paul Maleh: Thanks Dan and good morning everyone. Thank you for joining us today. Continued momentum in the business and demand for our services supported headcount expansion of 3.6% year-over-year and utilization of 77% for the second quarter. The hard work of my colleagues drove CRA’s revenue to $149.1 million, which is the highest quarterly revenue in the company’s history. This record was achieved despite currency headwinds associated with the strong U.S. dollar that shaved $3 million or 2% year-over-year growth from our reported revenue on a constant currency basis. Our performance was broad-based with four practices, Antitrust & Competition Economics, energy, intellectual property and labor and employment, delivering double-digit revenue growth year-over-year. We also saw solid contributions from our international operations, which posted growth of 6% year-over-year. We continue to effectively manage the business, mitigating the pressure of cost inflation and converting CRA’s top line performance into strong profitability. For the quarter, CRA set new quarterly records for EBITDA and net income and earnings per diluted share. I will now highlight some of the services we provided during the second quarter. Despite a 21% decrease year-over-year, worldwide M&A transactions totaled $1.1 trillion during the second quarter of 2022, marking the eighth consecutive quarter of $1 trillion or more. Looking at transactions in excess of $10 billion, which tend to represent the types of transactions on which our economists are engaged. The value of M&A transactions totaled more the total more than $600 billion during the first half of 2022, a decline of only 5% compared with the second quarter of 2021. Against this backdrop, our Antitrust & Competition Economics practice once again established a new high watermark for performance as it recorded its highest quarterly revenue ever. During the second quarter, the practice continued to support private parties and regulators on a variety of new and continuing M&A-related engagements in North America and Europe. The engagement span a broad range of industries, including technology, transportation, telecommunications, industrial manufacturing and chemicals, and require our experts to assess the characteristics of product and geographic markets among other considerations. This work involves the application of cutting-edge economic theory, empirical analysis and computing infrastructure. Turning to the legal market, CRA’s revenue from legal and regulatory offerings during the second quarter grew 4% year-over-year. The team achieved this growth despite the fact that both total case filings and total court judgments during the second quarter of 2022 were down 8% year-over-year. CRA’s Antitrust & Competition Economics practice continued to support clients in the context of legal disputes in addition to their merger review work. For example, during the second quarter, CRA was hired by Agway Energy Services, the defendant and a consumer class action matter in which the plaintiff allege that Agway engaged in deceptive pricing practices by charging low introductory rates and then switching customers to higher monthly prices that were allegedly more than the rates charged by competing electric utilities and competing energy supply companies. The CRA expert analyzed the market and the relevant regulatory structure and concluded that in the significant majority of market quarters, Agway prices were, in fact, below the median, counsel for Agway relied upon CRA’s expert’s opinion and analysis and a series of motion that ultimately resulted in the exclusion of the plaintiff expert and led to summary judgment dismissals. Our intellectual property practice advised on multiple high-stake litigation matters covering a broad range of industries. For example, a CRA expert testified that trial in a patent infringed matter between two major suppliers of offshore wind turbines. The jury returned a verdict awarding our client a $30,000 per megawatt royalty based on the CRA experts’ testimony. The case presented unique economic issues given the early stage nature of the wind farm projects at issue in this case, requiring CRA to carefully craft damage there that allowed the jury to determine the appropriate reasonable royalty rate for turbines that the defendant plans to install in the future. The IP practice also continued its work in International Trade Commission investigations and testified that trial on the issues of commercial success and domestic industry in an ITC investigation involving health monitoring technology used in smart watches. Within our labor and employment practice, CRA continues to assist clients in responding to charges filed by federal agencies, including the EEOC and state agencies such as the California Department of Fair Employment and Housing. Our work over this period was fundamental to the initial phase of data collection early assessment and data production as well as later phases of expert testimony and court ordered monitoring. In addition, the practice continues to provide proactive employment audits that benchmark workforce composition and hiring decisions, along with compensation analysis to support clients’ diversity equity and inclusion efforts. These audits are primarily focused on the U.S. operations of our clients who span industries ranging from automotive food and pharmaceutical manufacturing to legal and financial services. The practice continues to benefit from the contributions of our new colleagues who joined CRA by way of our acquisition of Welch Consulting. Integration efforts are ongoing and tracking to plan. The labor and employment practice has seen an increase in cross office staff utilization and is expanding joint marketing efforts corresponding with the return to in-person conference participations such as the National Industry Liaison Group Conference that took place in Boston last week and an upcoming American Bar Association event in Washington, D.C. We expect to see continued benefits from these efforts in the quarters ahead. Within our management consulting offering, the energy practice remained engaged with a number of major civil litigation cases and regulatory proceedings. This including providing written testimony to the Federal Energy Regulatory Commission on behalf of a North Dakota cooperative utility that was seeking to block the cost of a large unrelated coal gasification plant from being included in the rates charged to it under a FERC regulated wholesale contract. In addition, CRA’s Energy practice increasingly has been asked by its gas and electric utility clients to develop decarbonization plans. For numerous utilities CRA’s Energy practice has evaluated alternative pathways to reaching net zero goals such as through energy efficiency, the retirement of fossil plants, electrification and the usage of renewable natural gas. The team also often helps with a stakeholder communication process and in regulatory proceedings. Finally, the practice continued to work with the energy investment community and expanded services into water as we assisted a European investor with a transformation of our recently acquired water system. I am grateful to all of my colleagues for their hard work in helping our clients address their most important challenges. As our second quarter results demonstrate, our portfolio of services remains highly valued by our clients. Moreover, we are well positioned to maintain the momentum in the business as we continue to replenish our sales pipeline. In the second quarter, project lead flow grew by 3% year-over-year. Through the first two quarters of fiscal 2022 on a constant currency basis relative to fiscal 2021, we generated total revenue of $301.5 million and non-GAAP EBITDA of $39.1 million, achieving a margin of 13.0%. Reflecting the continued strength of our business, we are reaffirming our revenue guidance and raising our EBITDA guidance for full year fiscal 2022 on a constant currency basis relative to fiscal 2021, we expect revenue in the range of $585 million to $605 million and non-GAAP EBITDA margin in the range of 11.3% to 12.0%. This new profit guidance compares with the prior non-GAAP EBITDA margin range of 10.8% to 11.5%. With that, I will turn the call over to Chad and then Dan for additional comments. Chad?
Chad Holmes: Thanks, Paul. Hello, everyone. I want to update you on our capital deployment initiatives during the quarter. CRA continues to generate strong cash flows. For the trailing 12 months through the second quarter of fiscal 2022, CRA’s adjusted net cash flows from operations were $65.4 million. As Dan will describe in greater detail, we concluded the quarter with $15.6 million of cash and cash equivalents and $70 million of borrowings under our revolving credit facility, resulting in a net debt position of $54.4 million. The outstanding borrowings were primarily to fund bonus payments and other working capital needs. Consistent with our experience in prior years, we expect to spend the remainder of the year reducing our outstanding borrowings and aim to finish the year with 0 outstanding borrowings. In addition to the normal bonus cycle, the second quarter of 2022 also saw cash outlays for talent investments of $13.3 million, net of forgivable loan repayments. We also spent $700,000 on capital expenditures, bringing the year-to-date total to $2.1 million. For fiscal 2022, we expect to spend approximately $5 million on capital expenditures. We returned $20 million of capital to our shareholders during the second quarter, consisting of $2.3 million of dividend payments and $17.7 million for share repurchases of approximately 211,000 shares at an average price of $84 per share. We have approximately $27.9 million available under our share repurchase program. With that, I will turn the call over to Dan for a few final comments. Dan?
Dan Mahoney: Thanks, Chad. As a reminder, more expansive commentary on our financial results is available on the Investor Relations section of our website under prepared CFO remarks. Before we get to questions, let me provide a few additional metrics related to our performance in the second quarter of fiscal 2022. In terms of consultant headcount, we ended the quarter at 863, which consisted of 145 officers, 475 other senior staff and 243 junior staff. This represents a 3.6% increase compared with the 833 consultant headcount reported at the end of Q2 fiscal 2021. The second quarter has historically been a seasonal low point for CRA’s headcount as some junior staff depart before our new college recruits arrive. By the end of the year, we expect consultant headcount to be up 7% to 8% year-over-year. Non-GAAP selling, general and administrative expenses, excluding the 3.5% attributable to commissions to non-employee experts was 15.3% of revenue for the second quarter of fiscal 2022 compared with 13% a year ago. This quarter’s ratio was impacted by an increase in travel and entertainment expenses, higher labor costs and higher other operating expenses, including professional services fees. The effective tax rate for the second quarter of fiscal 2022 on a non-GAAP basis was 28.3% compared with 25.8% on a non-GAAP basis for the second quarter of fiscal 2021. The higher rate in the second quarter of 2022 was largely attributable to a lower benefit arising from the accounting for stock-based compensation. Turning to the balance sheet. DSO at the end of the second quarter was 117 days, compared with 99 days at the end of the first quarter of fiscal 2022. DSO in the second quarter consisted of 76 days of billed and 41 days of unbilled. DSO typically follows a seasonal pattern with increases in the second and third fiscal quarters. The quality of our receivables remains strong as we have not seen an increase in write-offs associated with those receivables. We concluded the second quarter of fiscal 2022 with $15.6 million in cash and cash equivalents and a further $100.6 million of available capacity on our line of credit for total liquidity of $116.2 million. That concludes our prepared remarks. We will now open the call for questions. Rob, please go ahead.
Operator: Thank you. [Operator Instructions] Our first question comes from Andrew Nicholas with William Blair. Please proceed with your question.
Andrew Nicholas: Hi, good morning. Thanks for taking my questions and appreciate all the color with the prepared remarks. Just wanted to hone in on guidance in my first question, specifically as it relates to margins really, really good margin performance in the first half of the year strong utilization likely one component of that. I am just wondering if you could walk us through some of the puts and takes for margins in the back half of the year? It looks like the implied margin level is a decent bit below the first half. So I am just wondering what’s baked in? Is it higher labor costs? Is it still additional T&E and kind of post-COVID return of certain expenses? Is it conservatism? Just any additional color that you could provide on how margins are going to progress through the remainder of this year?
Paul Maleh: Sure. Good morning, Andrew. I’ll just make your question into a directive. And it’s pretty close to the answer I am going to provide. So the pattern through the first 6 months of the year is pretty much according to plan. As a reminder, we were still in a work-from-home environment during Q1 and thus enjoyed what I would call unusually low SG&A-related expenses. We returned to the office and also return to visiting our clients and attending various other marketing functions during Q2, unless you saw the rise of SG&A to 15.3%, again, pretty much according to what we anticipated. In the second half of the year, there are several factors that will influence our EBITDA margin, one being we hopefully expect to continue to be in the office, visiting our clients and seeking marketing opportunities in the months and quarters ahead. So I would expect SG&A to stay pretty consistent with what we have experienced during Q2. Secondly, we are welcoming a lot of new colleagues during Q3 and even into Q4. We are pretty excited about that. But as these new colleagues get integrated, there is a ramp associated with their integration that comes in the form of higher costs with less offsetting revenue. So that’s factor number two, that I would ask people to take in consideration. And last but not least, is Q2, I mean, the second half of 2022, like other second halves of the year, are usually more heavily weighted by vacation time, thus, again, having more cost hitting our books than the offsetting revenue of those individuals’ time.
Andrew Nicholas: That’s all helpful. Thank you. And then you mentioned your expectations for 7% to 8% headcount growth year-over-year, obviously a healthy number. Is that – can you kind of walk us through the moving pieces within that number? Is attrition more or less in line with your expectations year-to-date? How comfortable are you with kind of your ability to add talent in this environment? Any update on that and kind of the recruiting environment broadly would be helpful? Thank you.
Paul Maleh: Sure. So when I talk about head count additions or expectations for the year, we try to only focus on those hires that are already committed and have a scheduled start date. So I’m trying to take out as much uncertainty in that statement as possible. But one piece of uncertainty that I can’t really control is the fact that people will attrit as we get into Q3 into Q4. And the further you get in to the second half of the year, the more difficult it is to replace that head count upon having attrition. So we build in an expectation for a certain attrition level. But if all of a sudden, we see a spike in attrition, say, in November, December, it is typically difficult to offset that in the same periods of time. So that’s – those go into our expectation of head count growth of 7% to 8%. What we have experienced to date is slightly higher than what I would call pre-pandemic levels of attrition. And do I expect that to continue? Usually, you end up reverting back to a mean, but given all the uncertainties in our macro economy with rising inflation, labor markets still being tight, we are just trying to manage that as effectively as we can.
Andrew Nicholas: Great, thank you. And if you don’t mind me squeezing one more in here on the M&A environment. I think in your prepared remarks, you mentioned a few statistics. I think one of them was that deals over $10 billion were about 5% down year-over-year in the first half. Are you expecting kind of similar type of year-over-year declines in the second half or being a bit more conservative in that part of the market? Just wondering what’s baked into your expectations. Thanks again.
Paul Maleh: Sure. What’s baked into the expectations is really matters that we see right now in our pipeline. Again, given the uncertainty in the overall market, I try not to get too far ahead in terms of my expectations. What I can say is Q1 and Q2 in terms of merger-related revenue for Antitrust & Competition Economics practice are two of the best quarters the practice has ever experienced in the M&A marketplace. So if we do see a slowdown, it’s typically not in the form of a cliff, but more of a gradual decline. The other thing that bolsters my confidence is that lead flow to date has been pretty solid. We haven’t seen a decline on both sides of the equation for the antitrust competition practice in terms of revenue related to antitrust litigation type matters and revenue related to M&A transaction assistance.
Andrew Nicholas: That’s helpful. Thank you.
Paul Maleh: Thank you, Andrew.
Operator: Our next question is from Kevin Steinke with Barrington Research. Please proceed with your question.
Kevin Steinke: Hi, good morning, Paul, Chad and Dan. I wanted to follow-up on the discussion about the non-GAAP EBITDA margin guidance. What, I guess, is trending better than you expected at the beginning of the year that enabled you to increase that margin guidance range?
Paul Maleh: First of all, good morning, Kevin. I guess the first is that revenue is going pretty much according to plan thus far. So – and when we talk about an EBITDA margin, clearly, revenue is a big component of that. With respect to the costs, we’ve been largely able to mitigate the labor inflation costs that we talked about during the Q4 call, that we talked about during the Q1 call. So I haven’t seen a compression of our margin on either the gross margin level or the operating income level. So not seeing that compression gives me a little more confidence about the quarters ahead. And lastly, during the Q1 call, we talked about an expectation that SG&A relative to the Q1 SG&A percentage of 14.4% would be roughly 50 to 100 basis points higher. We came in at 15.3%. So again, we’ve been able to run the operations pretty much according to plan. It’s those combination of factors that give us confidence in the trajectory of our profitability in the months ahead.
Kevin Steinke: Okay. Great. And you mentioned there your ability to mitigate cost inflation. Maybe just talk about that a little bit more and your ability to pass on cost inflation and the acceptance on the client’s part for what I assume are some price increases.
Paul Maleh: Sure. I wish the three executive officers talking with you today can take all the credit, but we really can’t. Anytime you talk about passing of costs to your clients, it begins with the clients’ perception and value of the services being rendered. All the credit goes to my colleagues for continuing to improve the quality and the value of the services being provided to our clients thus the receptivity of our clients of the higher rates. So those two things are just so closely tied. It has to do with the portfolio that we have compiled through the years in terms of our practice portfolio and just the continued excellence of my consulting colleagues.
Kevin Steinke: Okay, great. Just talking about the trends in the legal and regulatory market, you mentioned both case filings and court judgments down 8%. Is there anything in terms of a market trend that can be read into that or could it just be kind of normal fluctuation? What are you seeing in terms of any meaningful trends in the litigation market and how that might tie to those figures you cited?
Paul Maleh: It’s a good question. And unfortunately, I don’t have as strong an answer for you. And the reason that I’m struggling with that is just the volatility that we’ve seen in the marketplace quarter-to-quarter has made it difficult to provide a real outlook as to the – as to trends in the overall litigation market. What we try to look at always is are we getting our fair share of the new matters coming to market? I believe we are. We continue to see growth across the portfolio at a faster rate than what we’re observing in terms of just aggregate case filings. But we’ve just seen volatility for a number of different reasons. We saw a surge in case filings and case decisions as the world started to emerge from the pandemic, we saw it recess again as we all went back to our homes and left offices. So to say what the trend is, we will wait to see in the next quarter, but I like the relative performance of our portfolio to the trends that we are observing.
Kevin Steinke: Okay. Understood. And you mentioned, again, the expected headcount growth of 7% to 8% by the end of the year. Typically, I think about that as an indicator of the demand you’re seeing and the level of hiring you’re making to meet that demand and that would represent a pickup relative to the headcount growth of 4% in 2021. So can you tie that projected headcount growth to what you’re seeing in the pipeline and just the overall demand environment for your services?
Paul Maleh: We do the best we can to tie both the supply of our labor and the demand for our services. One measure of our ability to provide that match is the consistency of our utilization quarter after quarter, year after year. So I think we’ve done a pretty good job at that. I was reading one article and they had a phrase that I think is really quite relevant to how you set your expectations that whether we are in a recession or not, we clearly are seeing a slowing down of our economy. But the article continued to say is when you have a recession, you also have a rebound or emergence of the economy. So just a reminder that you always have to play the long game. Our goal is to maximize the long-term value per share. So I am not going to jeopardize our long-term viability for short-term profitability. And thus, we continue to hire according to the demand environment that we’re seeing and the historical trends that we’ve enjoyed in the marketplace.
Kevin Steinke: Okay. And lastly, you mentioned there economic slowdown. Are you seeing anything in your pipeline or in any of your practices, in particular that would indicate that an economic slowdown is impacting client demand in any fashion at this point?
Paul Maleh: Not prominently. No. But it’s one of these things that you can’t avoid reading an article about the uncertainty, about the trajectory of the overall economy. So we try to maintain as much flexibility as we can. Flexibility comes from running an efficient operations, which we do. And flexibility also comes from the cash generation of the business. So right now, we have that financial flexibility, operating flexibility to pursue all avenues of growth and all positive NPV projects for the firm. So we’re not at the stage yet where we see our clients retracting that is causing us to reassess our capital allocation decisions.
Kevin Steinke: Okay, thank you for taking my questions and congratulations on the solid results.
Paul Maleh: Thank you, Kevin.
Operator: Our next question comes from Marc Riddick with Sidoti. Please proceed with your question.
Marc Riddick: Hi, good morning.
Paul Maleh: Good morning, Marc.
Marc Riddick: So many topics have already been sort of covered and some of my favorite questions have already been jumped on. So one of the things I did want to touch on is, every once in a while, we do tend to see whether it’s sort of emerging themes or emerging practice areas that maybe are a little bit below the radar. Are there any types of examples like that, that you’re seeing that have maybe picked up during the course of the year that maybe we don’t get to talk about as much or whether it’s something around the regulatory or cryptocurrency like or anything like that, that is the kind of thing that might be more of a leading growth driver in the quarters ahead?
Paul Maleh: I can’t point to one of the factors that have emerged, say, in the last one or two quarters, a lot of the trends that we are enjoying now have been in play for the last several years. As an example, we tried to highlight some of the demand arising from diversity, equity, inclusion efforts or on ESG efforts that both our labor and employment practice are enjoying and our energy practice is enjoying. So that’s an example of some trends that are manifesting itself in more demand. But still relative to the aggregate revenue that we’re producing in the quarter, it’s still relatively small. So the performance is still driven with what I would call base demand generators right now.
Marc Riddick: Okay, great. And then I wanted to circle back to the commentary around the legal activity and maybe some of the things that are taking place there. Are you getting any sense that, that maybe any of the – your – the law firms that you work with are making sort of any changes as to sort of what they are looking for or is it too early to sort of see any meaningful differences and how they are handling what they are seeing as far as the ultimate throughput through the courts?
Paul Maleh: Yes. We haven’t seen a shift in terms of demand coming out from the law firms. The communications that we’ve enjoyed with them again, is more of a continuation of the trends that we’ve seen over the last several quarters.
Marc Riddick: Okay. Great. And then the last thing I was sort of curious about with the hiring pickup that you have in mind already for the remainder of the year, which is certainly encouraging and certainly indicates plans to continue to invest going forward. I was thinking about whether or not there are any particular practice areas that are a little tougher to recruit for than others? And I’m thinking more along the lines of sort of the younger recruits coming in as opposed to the seasoned folks, if there are any shortages out there that we should be thinking about?
Paul Maleh: It’s been really challenging recruiting at all different levels. But I guess the good news is that it’s always challenging to recruit at CRA because if you truly want to hire the best and brightest which is always our aspiration at CRA, there is going to be a lot of competition for that labor, whether they are from our university hires for undergraduate talent, or whether they are in the secondary market for more seasoned professionals. There is lots of competition. So you always have to be economically viable to those individuals, and you have to be a home that they can see themselves flourishing in. So I wouldn’t say I’m seeing an increase in demand in any one sector of our recruiting. Yes, we have seen higher attrition rates than we have in the past. But to date, we are largely able to offset that with new hires.
Marc Riddick: Okay. Very encouraging. Thank you very much.
Paul Maleh: Thank you, Marc.
Operator: We have reached the end of the question-and-answer session. I would now like to turn the call back over to Paul Maleh for closing comments.
Paul Maleh: Again, thanks to everyone for joining us today. We appreciate your time and your interest in CRA. We will be participating in virtual meetings with investors in the coming months, and we look forward to updating you on our progress on our third quarter call. With that, that concludes today’s call. Be well, everyone. Thank you.
Operator: This concludes today’s conference. You may disconnect your lines at this time, and we thank you for your participation.